Operator: Welcome to the Warner Music Group’s fiscal third quarter earnings call for the period ended June 30, 2009. At the request of Warner Music Group, today’s call is being recorded for replay purposes and if you object, you may disconnect at any time. (Operator Instructions) Now I would like to turn today’s call over to your host, Ms. Jill Krutick, Senior Vice President of Investor Relations and Corporate Development. You may begin.
Jill S. Krutick: Thank you very much. Good morning, everyone. Welcome to Warner Music Group’s fiscal third quarter 2009 conference call. Both our earnings press release and the Form 10-Q we filed this morning are available on our website at wmg.com. Today Chairman and CEO Edgar Bronfman Junior will update you on our business performance and strategy. Executive Vice President and CFO, Steven Macri, will discuss our quarterly financial results and then Edgar, Steve, and Michael Fleisher, our Vice Chairman, Strategy and Operations, will take your questions. Before Edgar’s comments, let me remind you that this communication includes forward-looking statements that reflect the current views of Warner Music Group about future events and financial performance. Words such as estimates, expects, plans, intends, believe, should and will, and variations of such words or similar expressions that predict or indicate future events or trends, or do not relate to historical matters identify forward-looking statements. Such statements include but are not limited to estimates of our future performance, such as the success of future album sales, projected digital sales increases and declines in physical sales, expected expansion of the online marketplace, the success of strategic actions we are taking to accelerate our transformation as we redefine our role in the music industry, the impact general economic conditions may have on us, market share gains, and our intention to deploy our capital, including the level and effectiveness of future A&R investments. All forward-looking statements are made as of today and we disclaim any duty to update such statements. Our expectations, beliefs, and projections are expressed in good faith and we believe there is a reasonable basis for them. However, there can be no assurance that management’s expectations, beliefs, and projections will result or be achieved. Investors should not rely on forward-looking statements because they are subject to a variety of risks, uncertainties, and other factors that can cause actual results that differ materially from our expectations. Information concerning factors that could cause actual results to differ materially from those in the forward-looking statements is contained in our earnings press release and Form 10-Q and other SEC filings. We plan to present certain non-GAAP results during this conference call. We have provided schedules reconciling these results to our GAAP results in our earnings press release posted on our website. With that, let me turn it over to Edgar. Thank you.
Edgar Bronfman: Thanks, Jill and welcome, everyone. Thank you for joining us. As anticipated, our release schedule improved this quarter but we continue to experience pressure from both the recorded music industry’s transition and the broader economy. Nevertheless, we persevered in our business strategy to speed our digital transition and to further diversify our revenue mix. We continue to experiment with and monitor the effectiveness of new music services in the digital space, as well as sign new recording artists to expanded rights deals. These efforts will create a different business model for recorded music, which in turn should lead to sustained growth over time. In the near-term, we are excited about our remaining fiscal year releases, which I will touch on shortly. Looking at the quarter, we achieved a very important financial milestone with the completion of our highly successful bond offering in May. The significant demand from investors permitted us to dramatically up-size our bond offering from $500 million to $1.1 billion. As a result, we were able to use these proceeds together with $335 million in cash from our balance sheet to retire our $1.4 billion secured senior credit facility and reduce our leverage. This transaction has increased our financial flexibility by among other things pushing out our earliest debt maturities from 2011 to 2014, and eliminating financial maintenance tests from our debt covenants. Even with our newly increased financial flexibility, we believe our conservative balance sheet strategy has served us very well and we don’t plan on making any fundamental changes in the way we operate the business or use our cash. In a few minutes, Steve will provide you more perspective on our balance sheet. Even as we lay the foundation for future growth, we recognize the realities of today’s environment. This quarter we continued to face secular and cyclical pressures in both our recorded music and music publishing businesses. We largely sustained U.S. track equivalent album share, going from 21.5% in the June ’08 quarter to 21.2% in the June ’09 quarter, despite a very competitive industry-wide release schedule. To put it into context, Warner Music is getting U.S. total track equivalent album share in 16 of the last 18 quarters. Since we purchased the company from Time Warner in 2004, our U.S. total track equivalent album share has increased by 6 percentage points or by 40%. We see this remarkable growth as concrete proof of how our disciplined approach to A&R, marketing and promotion continues to yield positive results. Industry wide, the growth in digital recorded music revenue is still not compensating for the decline in revenue from physical recorded music. Nevertheless, industry wide digital performance continues to show solid year-over-year growth with total U.S. digital unit sales up 11% in the quarter. However, as we’ve consistently said, digital sales typically follow a seasonal pattern with a post holiday sales spike followed by a flatter sales trend until the next holiday period. In addition, as digital revenue becomes a bigger piece of the recorded music revenue pie, it is increasingly affected by industry release schedules. As our release schedule this year is weighted towards our fiscal fourth quarter, we saw moderate sequential growth in digital recorded music revenue in the third quarter. While not yet completely offsetting the physical revenue declines, increases in digital and non-traditional recorded music revenue such as from our concert promotion business almost entirely offset these declines on a constant currency basis. Now let’s turn to our quarterly results. First we continue to make the necessary A&R investments to drive future growth. Second, we remained an industry leader in the important digital arena. Even with just a few key new releases, our quarterly digital revenue rose 11% to $175 million on a constant currency basis and was up 2% sequentially and in the U.S., digital revenue represented 37% of recorded music revenue compared to 32% in the prior year quarter. Third, as part of transforming our business model, we continue to diversify our recorded music revenue streams and during the quarter saw an increase in revenue related to our artist services business, most notably in our concert promotion business this summer. And fourth, we continued to strengthen our music publishing business by further developing our artist roster and catalog and examining and refining our investment strategy. Our U.S. recorded music results benefited from the release of Green Day’s latest album, 21st Century Breakdown, which topped charts around the world, already selling over 3 million units in the quarter. We are proud that Warner Chappell serves as the long-time music publisher for Green Day. Rob Thomas, Zack Brown, Eric Clapton and Steve Winwood, Flo Rida, and the Twilight soundtrack were other key contributors to our U.S. recorded music results this quarter. International recorded music results were directly affected by significant recession related industry wide declines in Japan. Fiscal unit sales for the industry are down 17% year-to-date through June and industry digital unit sales were down 2% through March, primarily from softening demand for ringtones. Latin America remains soft as well but more than offsetting weakness in Japan and Latin America was strength in parts of Europe, driven principally by our European concert promotion business. Overall our international recorded music revenue rose by 8% on a constant currency basis, reflecting our increasingly diversified revenue mix. Our U.K. business benefited this quarter both from U.K. artists such as Paolo Nutini and [Bloom Boots] and international artists such as Green Day. We are also excited by the recent appointment of A&R veteran Christian Tettersfield as CEO of Warner Music U.K. and Chairman of Warner Brothers Records U.K. Christian has had many successes at Warner Music U.K. since he joined us in 2000, including several important artist signings, such as David Gray and Damien Rice. We expect him to provide great leadership for our important U.K. business. Looking ahead, we remain very optimistic about our upcoming releases. As you know, as a matter of policy we do not provide specific details about our future release schedule. Nevertheless, as we’ve noted in the past, once a single is playing the radio, typically an album follows. That will certainly be the case for Celebration, Madonna’s career-spanning double album greatest hits collection which contains two brand new songs. We are very excited about the first single, also called Celebration, which debuted on July 30th to great fanfare ahead of the September album release. This album highlights the value of Warner Music’s ownership of the recordings for Madonna’s entire recorded music career. In addition, Warner Chappell has been and continues to be Madonna’s music publisher. Our first expanded rights signing in the U.S. in December 2005 was a band called Paramour. Since that time, our Atlantic Records team has worked closely with the band to build a loyal global fan base through touring and strategic online interaction with fans. Earlier this year, Paramour had the lead single, Decode, on the soundtrack album from Twilight, and recently the group toured as the opening act to No Doubt. Their highly anticipated third album, called Brand New Eyes, will also be released in September. The first single, ignorance, is seeing excellent momentum at radio and the album has exciting pre-release activity on the Paramour.net website. The site currently features an exclusive pre-release limited edition box set which retails for $39.99. Consistent with other premium bundled offerings, this unique box set, available only on the Paramour.net site, has outsold the standard $11.99 pre-release CD only offer at a rate of 13 to 1. Pre-release activity on iTunes is following a similar pattern, where the premium digital album bundle there, priced at $14.99, dramatically outselling the $9.99 standard version. Atlantic will also release superstar rap artist Jay-Z’s upcoming album, Blueprint 3, in September. The current single, Run This Town, featuring Jay-Z, Rihanna, and Kanye West, have seen early success at radio. We’re also looking forward to the September release of the resistance, the fifth studio album from the multi-platinum award-winning U.K. rock band, Muse. In addition, we are pleased that Warner Chappell recently expanded its music publishing arrangements with Muse. Let’s turn now to digital recorded music revenue, a significant impetus for our long-term progress. The download business remains the primary driver of our global digital business today and we remain very positive on Apple’s April introduction of variable pricing for single track downloads on iTunes. It’s early days but the variable pricing strategy is beginning to show a net positive impact on our top line digital revenue results. More importantly, this model gives us the flexibility to offer consumers more choice and provides us an opportunity to differentiate our offering. The momentum in iPhone sales continues to contribute to the growing footprint for iTunes activity. Recent trends indicate that the rising worldwide penetration of iPhones is substantially expanding digital music activity and raising the profile of music in the mobile world. For example, iTunes was launched in Mexico earlier this week -- the first new territory addition to the iTunes footprint in nearly three years. This launch is indicative of the opportunity Apple and its content partners have to follow the expansion of the iPhone into additional mobile-oriented countries. While on the global basis online digital revenue picked up year over year as expected, ringtone revenue continues to soften. As a result for calendar ’08, U.S. industry mobile unit sales declined 7%. Over time, we expect new sources of mobile revenue, such as over-the-air downloads, subscription services and access models, to more then compensate for the shift away from ringtones. We continue to be encouraged by the level of experimentation that we see in the digital space. We are monitoring the progress of recently launched services that are based on access models which bundle the purchase of a mobile device with access to music, such as Nokia’s Comes with Music and Vodafone Spain’s new mobile access plan. Although these services are still in the early stages of their rollouts, we see evidence that they are gaining traction with the consumers. Broadening our revenue mix in the growing areas of the music business, such as sponsorship, fan club, websites, merchandising, touring, ticketing, and artist management, among others, remains a key element of our growth strategy and is core to the transformation of our business model. We are excited by the potential of our ever-increasing roster of recording artists with expanded rights deals. As of this quarter, we’ve reached a tipping point as artists with expanded rights deals now account for more than half of our active global artist roster. As a direct result of our concerted global signing efforts, we are rapidly creating a new business model based on more diversified revenue streams. Turning now to Warner Chappell music, over time this business has proven to be a relatively stable performer with very attractive financial attributes. However, the pressures from physical recorded music declines were evident again this quarter as our mechanical revenue dropped 20%, leading to an overall decline of 5% in our music publishing revenue for the quarter on a constant currency basis. While the other revenue components within the music publishing business have generally offset mechanical weakness, this quarter proved a bit more challenging as general economic pressures weighed on their results as well. Warner Chappell continues to invest in the production music segment, a growing and financially attractive area of the music publishing business. We recently completed the acquisition of V Production Music, a small production music catalog in the U.K. that complements our 2007 acquisition of non-stop music. Our non-stop music investment has seen returns in excess of our original expectations. Before moving on to our financials, I just wanted to provide a short update on two public policy issues. First is the status of the performance rights act, the legislation introduced in congress this February to require terrestrial radio broadcasters to pay for their performance of sound recordings as other radio broadcasters do. After receiving the support of the House judiciary committee in May, the Senate judiciary committee held a hearing this Tuesday to consider the bill. We are encouraged by the progress being made toward the passage of the Performance Rights Act, enactment of which would validate the important contributions of recording artists and sound recording owners. It is also great to be working together with artists and creators through the Music First Coalition pursuit of correcting decades old inequity. The second important policy issue is the progress the music industry is making forging ties with ISPs to help combat piracy at its source. Following in the footsteps of France, there are several territories where we believe real progress is being made. Asia, together with France, is currently at the forefront of these developments. Korea and Taiwan have both recently passed graduated response laws where penalties are increased for multiple offenders. ISP discussions in Japan are ongoing and a trial period for sending warning notices is expected to begin this month. Europe also continues to press forward on this issue as Great Britain recently proposed legislation requiring ISP participation combating piracy and a major ISP in Ireland has begun the testing phase of a graduated response program. We are gratified by the growing momentum for the implementation of graduate response programs in so many parts of the world and we applaud the continued collaboration of governments, ISPs, and content owners to protect intellectual property. We remain hopeful that we can achieve similar results in the most content rich part of the world, the United States. Steve will now run through the financials before Michael, Steve and I take your questions.
Steven Macri: Thank you, Edgar and good morning, everyone. Today I will cover some of the quarter’s key financial highlights. All the revenue data I am about to discuss is on a constant currency basis. Looking at the income statement for the three months ended June 30, 2009, we reported revenue of $769 million, a 2% decrease year over year. The revenue decline primarily reflects our fiscal year 2009 fourth quarter weighted release schedule, general economic and retailer pressures, and the recorded music industry’s transition from physical sales to digital sales. As we have noted in the past, our results vary from quarter to quarter depending on our release schedule. We do not time releases to fall into a particular quarter -- instead, we release content when we believe we can achieve the greatest long-term success for our artists and the company. For the quarter, domestic revenue declined 10% while international rose 5%. That reflects our increasingly diversified revenue base, driven by our European concert promotion business. Digital revenue grew 11% to $175 million, or 23% of total revenue. That is up from 20% of total revenue in the prior year quarter. Digital revenue improved 2% sequentially, mostly due to the seasonal profile of digital sales. About two-thirds of our digital revenue was generated in the U.S. and one-third was generated in the rest of the world. That reflects the geographic makeup of digital consumption. Our operating income before depreciation and amortization, or OIBDA, fell 22% to $90 million. Our OIBDA margin contracted to 12% from 14%, as our cost management efforts were more than offset by weaknesses in Japan due to recession related declines, as well as timing of releases there. Japan is typically a higher margin territory because government regulations set prices of recorded music product at about 2.5 times U.S. prices. Therefore, softness in Japan has a more substantial impact on margins than other territories. However, on the plus side, in the near-term we have three key releases coming from superstar local artists Super Fly, [Ayaka], and [Kobikuro]. Looking at the different business segments for the quarter, recorded music revenue decreased by 2% to $629 million. Declines in domestic recorded music revenue of 11% were partially offset by growth in international recorded music of 8%. We saw growth in our global digital revenue and Europe concert promotion revenue more than offset by global declines in physical sales. Furthermore, concert promotion revenue largely drove our non-traditional recorded music revenue in the quarter. Non-traditional recorded music revenue spiked to around 10% of our total quarterly revenue, up from less than 5% in the second quarter of 2009. Several factors accounted for the recorded music revenue declines, including the timing of releases, continued contracted demand for physical product by retailers, and soft economic conditions. Recorded music digital revenue grew 9% from the prior year quarter to $163 million, or 26% of total recorded music revenue. That’s up from 23% in the same period last year. Domestic recorded music digital revenue grew 4% to $105 million, or 37% of domestic recorded music revenue, as compared to 32% in the same period last year. Recorded music OIBDA fell 22% year over year to $86 million. This decline is due to the timing of releases and recession related declines, particularly in Japan. Moving on to our music publishing business, in comparison to the same quarterly period in fiscal 2008, music publishing revenue fell 5% to $147 million, due to recessionary and secular pressures. Mechanical revenue fell 20% due to the industry wide declines in the physical recorded music business. Digital revenue grew 100% to $16 million due to the timing of cash receipts. Growth in synchronization in digital revenue was more than offset by mechanical and performance revenue declines. Music publishing OIBDA was $27 million, down 18% from the prior year quarter. OIBDA margin decreased 1 percentage point to 18%, primarily due to recessionary pressures and the timing of royalty payments. Turning to our balance sheet and cash position, as we said earlier our bond offering marked an important financial milestone. Our conservative balance sheet strategy enabled us to successfully complete our recent recapitalization. We used the proceeds from our $1.1 billion senior secured notes offering in May, along with $335 million in cash on our balance sheet to repay our senior secured credit facility in its entirety. The bond offering and associated debt pay downs have greatly improved our financial flexibility and reduced our leverage. As a result, our earlier debt maturities have been pushed back from 2011 to 2014. Further, we no longer have the quarterly maintenance ratio tests. Those have been our most restrictive financial covenants and they were scheduled to get progressively tighter over time. Our quarter net interest expense rose to $61 million from $43 million in the prior year quarter. Interest expense this quarter includes $18 million or $0.12 per diluted share on previously unamortized deferred financing fees related to the credit facility. These fees were written off in the quarter when we fully repaid the facility in connection with our bond offering. As we have previously disclosed, pro forma for our new bond offering, interest expense for the 12 months ended March 31, 2009 would have been approximately $180 million. Our successful bond offering has not change our view of cash uses going forward. We intend to continue to deploy our conservative balance sheet strategy, improving our free cash flow, and building cash. Additionally, we will continue to maintain a very selective posture towards M&A spending and we plan to sustain our current levels of A&R investment. In the quarter, we had free cash flow of $11 million versus $93 million in the prior year quarter. Our free cash flow is calculated by taking cash from operations of $11 million, less capital expenditures of $6 million, plus net cash received from investments of $6 million. The decline on operating cash flow is largely related to the decrease in deferred revenue from our European concert promotion business. After using $335 million to repay our bank term loan, we ended the quarter with a solid cash balance of $345 million, as compared to $658 million at March 31, 2009. Turning now to taxes, for the three months ended June 30, 2009, we had income tax expense of $4 million on a pretax loss from continuing operations of $33 million. Our net cash tax payments for the quarter were $20 million. We generated a net loss from continuing operations of $37 million, or $0.25 per diluted share. That includes the $0.12 per diluted share from the write-off of the previously mentioned deferred financing fees. That compares to the prior year quarter’s net loss from continuing operations of $9 million, or $0.06 per diluted share. As a reminder, as a matter of policy, we do not provide financial guidance. This is largely because fluctuations from our recorded music release schedule and associated marketing and promotional expenses are a normal part of our business. Our fiscal year 2009 remains back-end weighted towards the fourth quarter due to the timing of releases. We remain confident in our overall release schedule for the balance of this fiscal year. That being said, the music industry is not immune to the challenges posed by this difficult economy. To mitigate these challenges, we will continue to actively manage our expenses and take advantage of our flexible cost structure. Now I would like to turn the call back to Edgar for closing remarks.
Edgar Bronfman: Thanks, Steve. Consistent with our expectations of a back-end weighted year, we saw sequential improvement this quarter as revenue declines moderated. As I outlined earlier, we have a strong upcoming release schedule and our priorities remain centered on optimizing our performance while we transform our business. As we have demonstrated, we will continue to manage our balance sheet by generating significant free cash flow while balancing our costs and investment, focus on enhancing the value and growth of Warner Chappell, increase market share while maximizing our margin potential in our core reported music and music publishing businesses, and change our recorded music business model by accelerating our digital transition, expanding partnerships with artists, and nurturing relationships with consumers in order to broaden our revenue streams in growing segments of the music business. While recorded music in the global economic environment remain very difficult, I am gratified by everything we have accomplished. We remain optimistic about our ability to navigate through these dynamic times. While the challenges are great, so are the opportunities. We have the focus and energy to drive our strategic agenda while generating solid financial results. Michael, Steve and I look forward to answering your questions. Thank you, Operator and please open it up for Q&A.
Operator: (Operator Instructions) The first question is from Doug Mitchelson from Deutsche Bank.
Analyst for Doug Mitchelson: This is actually Megan [Durkin] in for Doug. Can you talk about your iTunes variable pricing strategy and what you have learned from that new pricing?
Edgar Bronfman: Well as we said, it’s still early days but I think what we have found is that the price increases, as we said, are resulting in an improved revenue and profitability for the company and we are pleased with the opportunity to have variable pricing at iTunes, both to price some tracks up and to price others down.
Analyst for Doug Mitchelson: Okay, thanks.
Operator: Our next question will be from Rich Greenfield from Pali Capital.
Rich Greenfield: Just a quick question -- hello? Can you hear me? Just a quick question, when you look at the global environment and the -- what’s happening across the industry, how do you think about the importance of greater consolidation, whether on a large scale or even just continuing to consolidate on a smaller scale as you look at the number of labels out there, and even just on the music publishing side, given that that business remains healthier. How much potential is there to further consolidate on the music publishing side and what would that mean to the industry as a whole, not even just yourselves? Thanks.
Edgar Bronfman: Rich, I guess I’ll make just a couple of comments. First is while I think the regulatory environment for further recorded music consolidation is probably -- the regulators are probably open to such additional consolidation. I’m not sure that would be the case for any large scale music publishing consolidation. But as with any industry that is contracting, which obviously our business is, though we think it will return to growth as we’ve discussed, consolidation provides the ability to increase margins in most cases where costs can be removed. Having said that, whether or not any significant consolidation can take place in the industry or will take place in the industry is complete speculation and I don’t think we should go there.
Rich Greenfield: And can you just comment, maybe just take it a step further in terms of if you don’t have consolidation, how confident are you in your ability to continue to take costs out of your business and position yourself for growth as you kind of see the lines cross between digital and physical?
Edgar Bronfman: I think -- again, I would point to the fact that three-quarters of our cost approximately are variable and our ability to take costs out of our fixed cost infrastructure I think remains available to us and we look at that frankly on a daily if not hourly basis and we do believe that we can continue to run this business on lower and lower cost basis in order to achieve strong financial results as we go through this transition to growth.
Rich Greenfield: Thanks.
Operator: Our next question will be from Bishop Cheen from Wells Fargo.
Bishop Cheen: Thanks for taking the question and congratulations on your balance sheet [inaudible] -- it was quite an execution. So you have all this flexibility and a lot of cash -- and you talked about a conservative strategy going forward. Any thoughts about returning to a dividend policy?
Steven Macri: As you alluded, our conservative balance strategy is really what enables us to have that success or recapitalization of our debt. As far as a dividend policy at this point, it’s maintaining the same conservative strategy of building cash and improving cash flow. There’s no at this point no idea of a dividend.
Bishop Cheen: Okay, that’s pretty clear. One follow-up -- on the expanded rights which I think you have been working towards the tipping point of half your roster being on the expansion rights,   can you talk about the qualities of the rights? I’m sure it comes in many different flavors and you are moving up the learning curve but where do you see the most profitability, in what kind of participation be it merchandising, touring, [inaudible] management, et cetera, et cetera -- can you just give us some color around where you think is the best quality for WMG on the rights deals?
Edgar Bronfman: I think what I would say is depending on how you consider it, touring and VIP ticketing probably have the greatest margins but that’s distinct from concert promotion, which has a lower margin. So again, that may seem confusing. But where we are partnering with an artist to receive revenue from a tour, that is high margin revenue. Where we are the actual concert promoter, and we are only getting concert promoter margins, those margins are thinner. Where we are managing the artist’s website and we are sharing with the artist any VIP ticketing revenue that comes off of the website, that’s pretty high margin. Merchandising is pretty low margin but it is very important to our artists to have good merchandise out there because it is very important to their fans. So the businesses are a mix of lower margin and higher margin and we are very focused on knowing which is which and trying to promote that which is obviously the most profitable to us but at the same time as we are now partnering with our artists, making sure that we can deliver all the services that are important to the artist and their fans.
Bishop Cheen: That’s very helpful. Thank you, Edgar.
Operator: The last question comes from Tuna Amobi from Standard & Poor’s.
Tuna Amobi: Thanks a lot. I have two questions -- first on the physical format, so as you look at the industry or your peers on the video side, the transition from standard definition to Blu-Ray seems like it is going to be obviously a major driver for the studios yet for you guys, the CD across the board has been mired in this I would say secular decline. So I know there’s been a lot of initiatives to kind of develop new formats. I don’t know if those efforts have been consolidated now or what Warner Music is doing in that regard to kind jumpstart another physical cycle to monetize your huge catalog, so that’s the number one question. Number two, Edgar, I know you’ve been spending a lot of time internationally in London of late, so regarding the international business, as you think about the margins from that business, based on your -- what you have seen on the ground, where do you see the greatest opportunities to kind of increase those margins? What markets specifically and which areas have you been looking at closely in terms of actually trying to jumpstart the international, particularly after the recent management re-org that you conducted out there. So any kind of color on that would be helpful.
Edgar Bronfman: Sure, Tuna. Let me go to the first piece -- there is really I would say no major physical transformation from CD to another format ahead of the music industry that we can see. We have introduced a number of titles in Blu-Ray audio but it’s not clear that consumers either can really appreciate the difference in the quality of that audio. It is very different and very much better but it’s not yet clear that consumers appreciate that difference. We will continue to do that and we may well gain traction there but at the moment, I wouldn’t count on it. We’re not planning on seeing that transformation occur. In terms of international, just to say I actually still reside in New York. I won't start residing in London until September, and when I do I’ll be back in New York half time, so there will be no changes really in the way the company is managed. But as we think about international business, I think less about geography and I think more about business model transformation. The way to grow margins is to have our risk capital returned by participating in all revenue streams that that risk capital makes possible and clearly we have the opportunity to do that, particularly in Europe where we own promotion businesses in France, Spain, and Italy where we’ve purchased them and Germany where we’ve built one, which allows us to promote artists like Johnny Hallyday, who has recently come off one of the most successful tours in the history of the French music industry. We are very proud that Johnny Hallyday records for Warner Music and we are proud to be his concert promoter. We do not have an expanded rights deal with Johnny Hallyday but if you can imagine as our younger artists start becoming successful, to have an expanded rights deal with an artist and also be their concert promoter allows us to promote them and market them in ways that they simply can’t be promoted and marketed in any other way and that I think is going to be very profitable for us. So I think less about whether that opportunity exists in Europe or in Asia but it exists in both places and I think that’s really what can drive margins in the future.
Tuna Amobi: That’s very helpful and while you are there, Edgar, do you see any possibility to expand your collaboration with EMI, you know, be it a partnership or any kind of medium that you might work together more efficiently?
Timothy Boyle: Well, as you know, we did do a deal with EMI where we took over their distribution in Southeast Asia, they took over our distribution in some areas in sort of the near east. My physical presence in London I think will have nothing to do with any further arrangements or lack of them between Warner and EMI, whether I am in London or New York -- if it makes good business sense for the companies to do work together, I hope we will and if it doesn’t, we won't. So I don’t think my physical location really has anything to do with that opportunity.
Tuna Amobi: Thank you very much.
Edgar Bronfman: Thank you all and thanks for your time and attention with Warner Music. We look forward to talking to you next quarter. Bye-bye.
Operator: That concludes today’s conference. You may disconnect at this time.